Operator: Hello, everyone, and welcome to Wallbox' First Quarter 2023 Earnings Conference Call and Webcast. My name is Charlie, and I'll be coordinating the call today. [Operator Instructions] I would now like to turn the call over to Matt Tractenberg, Wallbox' Vice President of Investor Relations. Matt, please go ahead.
Matt Tractenberg: Thank you, and good morning, and good afternoon to everyone listening in. Thank you for joining today's webcast to discuss Wallbox' first quarter 2023 results. This event is being broadcasted over the web and can be accessed from the Investors section of our website at investors.wallbox.com. I'm joined today by Enric Asuncion, Wallbox' CEO; Jordi Lainz, our CFO; and Douglas Alfaro, our new Chief Business Officer. Earlier today, we issued our press release announcing results from the first quarter ended March 31, 2023, which can also be found on our website. Before we begin, I'd like to remind everyone that certain statements made on today's call are forward-looking, that may be subject to risks and uncertainties relating to future events and/or the future financial performance of the company. Actual results could differ materially from those anticipated. The risk factors that may affect results are detailed in the company's most recent public filings with the U.S. Securities and Exchange Commission, including the Post-Effective Amendment No. 3, to our Registration Statement on Form 20-F filed on March 31, 2023, which can be found on our website at investors.wallbox.com. and on the SEC website at www.sec.gov. We will be presenting unaudited financial statements in IFRS format that reflect management's best assessment of actual results. Also, please note that we use certain non-IFRS financial measures on this call, and reconciliations of these measures are included in the presentation posted on the Investors section of our website. Also, a copy of these prepared remarks can be obtained from the Investor Relations website under the Quarterly Results section, so you can more easily follow along with us today. So with that out of the way, I'll turn it over to Enric.
Enric Asuncion: Thank you, Matt, and thanks, everyone, for joining us today. In addition to reviewing highlights from the first quarter 2023, we will spend some time discussing our rapidly evolving product portfolio and road map. I will provide an update on our path to profitability, and Douglas will join us to discuss the key competitive advantage he's going to leverage in his new role. Jordi will then step in and offer additional detail on our quarterly performance and offer some insight on our balance sheet as well as some guidance on expenses and CapEx. And finally, I will return to the current market outlook and how it impacts our guidance for the second quarter and full year 2023. We will end by taking questions from our covering research analysts. So let's get started. The first quarter finished within our expected range at €35.1 million, representing growth of 24% on a year-over-year basis. A few comments on Q1 results. The quarter played out as we anticipated and ended within the expected range. Today, our focus is on cutting costs, strengthening our balance sheet, forging new partnerships and bringing new products to market. The markets in which we participate remain strong on a consolidated basis, yet somewhat variable when looking at individual countries. That is not unusual given where each is on the adoption curve. We are encouraged by the resiliency in Europe this quarter and will continue to watch for some more signs of strength and consistency. EV deliveries increased by 55% in the U.S. and 18% in Europe, both on a year-over-year basis. Our sales increased by 126% and 18% in those regions, respectively, enabling us to expand market share in the U.S. and maintain our position of strength in Europe. Q1 revenue of €31.5 million grew by 24% on a year-over-year basis. Gross margin expanded by 90 basis points from the previous quarter and finished at 36.8%, a better outcome than we had expected. That performance was largely a function of product mix. Supernova Gen1 production continues to ramp up nicely, and we've already begun to deploy Gen2, which brings with it a more attractive margin profile. This will help bring consolidated gross margin back into the range we are comfortable with as we make our way through the year. Our first quarter was fueled by solid results in the U.S., growing revenue by 126%, but impacted by the timing of several sizable deals that shifted into the second quarter. We continue to see traction with OEMs, distributors and utilities and now count a very large Eastern U.S. energy provider as a new customer. As one of the largest utilities in the U.S., they are leading the way towards offering innovative and efficient solutions to manage their customers' power consumption. Many will soon be offered a Wallbox Pulsar Plus on a subscription basis and have access to subsidized and, in some cases, free charging sessions. In return, the provider will leverage the demand-response functionality that allows them to balance their capacity with customer demands, shift some of the demand to off-peak, unlock new business models and provide low or no-cost charging to drivers. We look forward to helping them expand the program offering to millions of customers. European revenue grew by 18%, driven by growth in Southern Europe of 110% over the prior year period. Elsewhere in the world, younger regions are just beginning to contribute, like LatAm growing at almost 60% year-over-year. North America now contributes 16% of total revenue, an increase of 7 percentage points over the prior year period. Europe represents 80% of revenue. Asia Pacific provided 2% of consolidated revenues in Q1. And Latin America was 1%. This shift is both deliberate and helpful as we continue to diversify both our geographic and product mix. Our AC charging portfolio represents 70% of our total revenue, with DC fast charging at 12% and the remaining 18% provided by accessories, software and services, a growing portion of which is recurring. And finally, we sold almost 45,000 chargers in the quarter. As expected, AC volumes were impacted by the continued channel inventory adjustments within our European distribution network, but that is transitory in nature. In the first quarter, as measured by activations, our partners installed more charges than ever before. However, there were higher levels of inventory at our channel partners in anticipation of a strong second half of '22. We expect these inventories to reach a healthy level by the end of Q2. In addition to the financial performance achieved in the quarter, I wanted to highlight a few other items worth noting. We've been very clear with our customers and investors. We are building a business in a market that has enormous, long-term tailwinds. To ensure we are developing the right products with the right specifications in a rapidly evolving environment, we must balance speed and agility with quality and responsible investment. The investments we've made have yielded amazing results, and our product portfolio has never been more focused. It's in exceptional shape, with new products coming to market this year and next that will improve our competitive position, accelerate our growth and expand our participation in new attractive markets. This, in part, assuming the market continues its path, give us confidence in our growth and profitability goals, both this year and next. New product additions to both AC and DC, new service and maintenance offerings and new features with our software platforms. The innovation cycle we manage has turned out some of the most innovative and successful products on the market, and we are at an inflection point in our evolution. It's an exciting time for us. On the AC side, we continue to focus our offering, but ensure it satisfies requirements across multiple market segments. Residential AC units have been our bread and butter, and while our offering is best-in-class, it's constantly improving. Pulsar Pro, which incorporates NFC and 4G, while further simplifying installation and configuration is highly anticipated by customers and will begin to ship this spring. ENERGY STAR is an example of a certification coming to our portfolio that will open new market opportunities that to date, we've not participated in. Low power, high efficiency is critical to decision-makers in the U.S. as this technical requirement is now mandatory in many states. Customers increasingly rely on rebates from utilities and the Department of Energy, so it's a must-have. That product is already coming off the production line and will begin shipping soon. Not all AC applications are the same, and the semipublic space is a new strategic initiative discussed in March, which will see a completely new product brought to life. That charger will meet the unique needs of installers who service the market, which includes apartment buildings, parking garages, sport venues, office buildings, shopping malls and hotels. These require a different product, one that stresses ease of installation and management, open standards and interoperability and centralized intelligence. It also will increasingly call for a more comprehensive offering that includes software, service and in some cases, both AC and DC hardware. Communicating with and managing this complex architecture has led us to develop a unique approach to solve this real world business problem for customers, which employs a centralized intelligence hub. That architecture will allow our system to communicate not only with different Wallbox chargers, but competing brands, too. That centralized management, configuration and monitoring will connect dozens of chargers in a parking garage to hundreds in fleet settings. It will provide visibility into vehicle IDs, usage patterns, scheduling and balancing available power with charging needs of the individual EVs. We expect products to be in testing environments in the third quarter and begin shipping to customers in the fourth. Turning to DC fast charging. The controlled production ramp-up of Supernova in 2022 has allowed us to make meaningful improvements to the design and process that drastically improve the product. As a result, we have reduced the time in which it takes to commission a new charger from eight hours down to two, and we are targeting one hour, thereby lowering costs and improving customer satisfaction in a meaningful way. Additionally, the reliability is exceptional, with current uptime rate of 98%, virtually unheard of in the industry. Within the public charging space, high levels of quality and customer service are key to success, because a buyer of five stations can easily turn into a buyer of 500, but only if we offer an exceptional experience. Gen2 also fits into market environments that Gen1 did not, including highway charging, expanding the product addressable market beyond that of Gen1. This platform is already shipping and installing, and customer feedback has exceeded our expectations. This experience is also translating to learnings and opportunities in North America. As discussed last quarter, Hypernova, our 400 kilowatts ultra-fast DC charger, has generated its share of interest among customers, and we are eager to bring it to the market. However, based on clear feedback and firm orders of high volumes, we've decided to accelerate Supernova to the U.S. market, introducing 180-kilowatt version later this year. Currently, we have orders for more than 500 units that will begin shipping in Q4. Hypernova will follow it to market in 2024, in time for NEVI and IRA project deployments. We believe this is the right addition given strong customer demand and the time we have to maneuver before U.S. subsidies begin to flow. Supernova is a proven platform with exceptional reliability rates, low TCO and will immediately place itself as a premier charger in North America. It also gives us more tools to leverage as we work to meet our revenue and profitability objectives this year. It will be a net positive to 2023. On the service side, we are encouraged by the increased interest in maintenance contracts on public charger installations. These contracts, often for two or more years, ensure we remain close to the customer, gain valuable data and open new revenue streams. As Supernova 180 comes to market, COIL will become even more valuable in delivering a comprehensive solution to our customers. They are extremely well positioned with that service offering and will deploy it alongside both Supernova 180 and Hypernova when the NEVI and IRA funds begin to hit the market next year. Electromaps, our location and payment enablement application in Europe, has performed well. They are considered as leading source of information for EV drivers in Europe, with more than 300,000 stations and 90,000 active monthly users. It has enabled more than 44 million kilometers traveled, the equivalent of 57 trips to the moon and back. Additionally, myWallbox, our proprietary management app for our residential and business charging, provides unique functionality through an intuitive mobile application and continues to innovate and improve. Today, these applications are separate, but the intelligence gathered from the 36 million sessions they've facilitated is priceless and allow us to understand driver behaviors. Our infrastructure is performing and evolving and, in turn, make adjustments to our offering to better serve both those who use the chargers and those who provide the energy. For this reason, bringing these two applications closer together with increased integration only increases that value. We will talk more on future calls, but you should expect a more unified software offering from Wallbox over time. That's what customers are asking for, and we're happy to offer it. Sirius is another software application we developed that is seeing real traction in the market. Originally created for our own use, this dynamic intelligence system that optimizes the sources and uses of energy for commercial buildings has found a very vocal customer base very quickly. This product will see its first deployment at scale this year, and when successful, see further opportunities across broad geographies with multiple customers and use cases. It's exciting to watch a product like this, which was initially created to solve an internal use, reach commercial deployment to solve real business problems for customers, all while opening up new markets and business segments for us. More on this on future calls. Second, we have laid out our path to profitability to you on previous calls. Today, we want to offer you an update and provide more detail into how we intend on transitioning to a profitable business next year. Scale, gross margin expansion, responsible management of headcount-related costs and meaningful reduction in operating expenses are what will get us where we need to be this year and next. Scaling any business is not easy feat, but growth is key, and we've built a business that is extremely well positioned in the huge market we all see coming. The phase of life we are in now is exciting. We established our brand in young and fast-growing markets that recognize EVs are the future mode of transportation. But we are also entering new markets, including business, public and services. This is extremely important because that is how scale occurs. The engineering work has been done, products have been developed and introduced and now we aggressively grow the business. Gross margins are equally important in achieving our objectives, and we intend on consistently moving them back to and beyond, if possible, the 40% mark you've come to expect from us. That is done through the cost engineering programs we discussed with the Supernova platform, but which also occurs in our AC portfolio and all other product families. We have a number of opportunities to improve our gross margin over the coming year, and I think you will like the results. During the quarter, we took a difficult step by reducing personnel by 15%, which has already driven a reduction in headcount-related cash expenses this year. Some of the costs are variable and move with sales, but some are not. On a sequential basis, after removing noncash costs, you have seen a moderate reduction in these expenses. As we capture a full period of savings in the second quarter, the progress we are making will become more visible. On a go-forward basis, you should expect personnel expenses to moderately decline as we continue to find efficiencies and improve our cost structure. Operating expenses is an area where continued progress will be made. In the first quarter, again, also a partial period impact, we reduced OpEx by more than €8 million. On a combined basis, our commitment was to remove €50 million from the global expense run rate, and I'm pleased with our progress so far. During the first quarter, we drove almost €10 million of cost reduction sequentially and confident in our ability to achieve our objective. Our commitment to you is that until we are profitable, you will not see a sequential increase to fixed costs. We have multiple levers at hand that will allow us to achieve profitability, even if the demand environment shifts. I'm hopeful this give you comfort in our capabilities and renewed focus on controlling costs. I look forward to providing additional milestones as we make our way through the year. Closing out the topic of profitability, I thought it will be helpful to provide some context on where we are on that journey. Within Wallbox, some business units like AC products are farther along that path than younger units, like DC. Both have their own engineering teams and resources, but all business units share corporate services, such as finance, legal or HR. However, looking at the profitability profile of each business unit on a stand-alone basis show us that at Wallbox, like most companies, there is a big difference in the financial profiles. AC has had the time to scale and achieve the efficiencies needed, and as a result, will be profitable this year in adjusted EBITDA terms. Conversely, DC is at an early stage in its evolution, and therefore is still moving up that curve. At the consolidated level, one supports the other, but on a stand-alone basis, they are at different points in their evolution. Both have equally large addressable markets, but they have come to market at different points in our time line. The point I'm making is that as these more established units scale further and generate cash, and as these other younger units reach scale and achieve efficiency, the combined business will achieve the desired outcome, profitability. We've proven we can build a profitable business already and look forward to this next stage at Wallbox. I will now ask Douglas to share the competitive advantage he will leverage in his new role as Chief Business Officer. Douglas?
Douglas Alfaro: Thanks, Enric. Good morning, and good afternoon, everyone. Wallbox has done exceptionally well executing its existing go-to-market strategy. We've accomplished something few companies have, which is to achieve a dominant position in highly competitive and fast-growing markets, like our progress in Europe, where we're the largest player by unit volume in the residential segment. And because of this, we want to be careful to leave untouched what's working well. But at the same time, we're in a great position to implement strategies to grow, evolve and improve. And so we identify those small nuanced changes that can often make a meaningful difference, especially at the point we're at. That point is an inflection, not just because EV adoption is finally happening at scale or because of massive public investment that's coming, but because of the strengths we've built and can control. The strengths we'll leverage include our leading market presence, access to new verticals and offerings through the new products we're introducing, our comprehensive portfolio and our global footprint. Wallbox is one of the top players in each of the markets we operate in. In many countries, we hold a leadership position that allows us to establish partnerships with brands that have become household names, names like Uber, Nissan, Walmart, Best Buy, Sam's Club, Rexel, SunPower and Iberdrola. The customer list we have is world-class and also varied, and that opens doors to discussions that don't exist if you're the sixth or eighth largest player. The competitive landscape is often crowded, but single segment products that lack brand presence, intelligence and reliability will not win in the marketplace. We've built a reputation for a high-quality and innovative product portfolio, and that presence is something very valuable that we work to leverage even further with both our expansive list of existing customers as well as new customers for new partnerships. We often speak about our market segments as home, business or public, but the truth is that the market is much more segmented than that. A charger in a single-family home is often quite different from when installed in an apartment building or a mixed-use commercial setting. A hotel operator has different needs than one managing a grocery store, and the demands of an urban public charger are different from those alongside a highway. Those segments, some of which we've spoken about, need unique products that meet the specific needs of not just the EV driver but also the installer or operator. With Wallbox's expanding portfolio of products, we're capable of providing complete and competitive solutions in a way that's unique in this industry. This will allow Wallbox to not only grow in depth with existing partners who have expanding and more sophisticated electrification needs and use cases, but it also positions us well to broaden our customer base into new partners in areas we currently do not serve. The semipublic market segment is a great example of a new product opening up a new opportunity. So is Supernova Gen2, which is perfect for highway applications or partners that want something much faster and more powerful than 60 kilowatts, but do not have the power available or aren't ready for 400-kilowatt charging systems. These new products built on proven platforms are designed and purpose-built to meet those needs. The amount of new addressable markets these new products unlock is simply massive. Our customers are also increasingly looking to solve more complex problems. Enric alluded to that when he spoke about the purpose-built product for semipublic applications, but that approach, that need is becoming much more important than you can imagine. Regional and global accounts don't just want to buy a charger. They want a partner that can solve problems and grow with them that requires not only hardware and software, but installation and services as well. For that reason, we're beginning to focus our efforts on providing more to these key customers. The new portfolio of products themselves also require a much more complete setup process, ongoing care and the capabilities to service quickly in order to provide the highest levels of customer satisfaction. This pairs perfectly with our creation of services that complement products, including on-site commissioning, remote and on-site support, training, preventive maintenance, and in key markets, full turnkey installations. The orders are larger, more complete and establish Wallbox as a partner and not just a vendor. Our ability to offer this solution sale is a competitive advantage and one we'll leverage going forward. We're already engaging with partners on these services together with our products, and we'll have some great examples to share in upcoming calls. We've built our business under the premise that this is how the market would evolve, and it's playing out as we expected. The solution that includes AC, DC, software and services is an enormous strength that customers are asking for, and we're one of the few who can offer it. The last strength that we'll focus on is ensuring that we are truly leveraging the benefits of operating a global business. This means that we'll be taking steps to be more efficient and effective by combining our global teams to best leverage our capabilities across the regions where we operate, but also that we make a concerted effort to provide global products and services to our partners and proactively bring these solutions to partners who have global footprints or ambitions for expansions with Wallbox. We're already starting to see some recent collaborations with global impact from some of our automotive partners like Nissan, Fisker, Uber and Lyft, with many more exciting opportunities to come. Many of our major distribution, retail and utility partners have global parents as well, another great opportunity we see ahead. In the fast charging segment, we're increasingly seeing influence from our charge network operator partners across multiple countries and regions. One example is Atlante, the European EV charging powerhouse. Already an important partner for Wallbox, they're quickly building a network of 35,000 fast chargers across all of Southern Europe. And there are many more, including Eni, EDF and Be Charge. These are huge influential business operators who need much more than a point product. And to partner with these brands, you cannot think in regional terms. You have to look at the big picture. Account management must occur at a much higher level. We've been talking about why our global capabilities are a differentiator and how hard they are to replicate. I hope you're beginning to see just what a benefit that is. It's real, it's meaningful, and there's much more to come. Jordi, I'll turn it over to you to comment further on our financial details.
Jordi Lainz: Thank you, Douglas. Good morning, and good afternoon to everyone. Our first quarter results came in as expected, and we are aggressively pushing ahead on several strategic initiatives previously shared with you. I will provide more detail on those results, discuss some financing activities we've announced and share some thoughts on the remainder of the year. For the first quarter 2023, revenue was €35.1 million, a 24% increase from the year ago period, driven by geographic mix, new products and M&A, slightly offset by channel inventory management and the timing of several large deals at the end of the quarter. The seasonal pattern played out as anticipated. However, we are encouraged by better delivery rates by the European OEMs. And while one point does not make a trend, it's positive and one we'll continue to watch for relief within the supply chain. Depending on the geography, we grew with or well in excess of the market growth within the regions we participate in and achieved our objectives. Now let me share with you some key highlights that drove our results. First, our regional mix continues to improve upon the benefit of geographic diversification. North America accounts for 16%, up from 9% in the prior year period, and Europe represents 80% of our revenue mix, down from 85% last year. Asia Pacific is currently 2%. Latin America is 1%. The latter two are subject to large swings given their smaller bases, but will continue to grow over time. We expect the shift to North America to continue, especially as subsidies begin to flow in 2024. An exciting data point for the quarter was our entry into the Japanese market. It's a challenging market to break into given the unique requirements, but we've been working hard to develop the right product and cultivate the right relationships. Congratulations to the team for getting that done. Second, gross margin for the quarter of 36.8% was stronger than expected, driven by improvements in DC, volume and mix. Enric shared some margin profile by product unit earlier. And as we look out over the remainder of the year, we believe we will see gradual improvement, ending the year back towards the 40% mark, with a full year margin of approximately 38%, assuming sales and mix targets are achieved. Adjusted EBITDA loss for the period was €22 million, an improvement of almost €10 million or 30% from just last quarter, a direct result of the aggressive cost reduction actions taken in the period. Both OpEx and personnel-related cash expenses are down sequentially and will hold or follow that path as we continue to remove costs from the business. We expect to finish the year with approximately $150 million of personnel and OpEx on a combined basis. Please note that the full impact of headcount reductions taken in Q1 will be realized in the upcoming quarters. We remain extremely focused on cost and conserving cash and have seen tangible benefits of those efforts. We expect to benefit from continued cost engineering efforts on existing platforms and the introduction of multiple new products which will contribute materially to our profitability this year and next. As we look out over the next three to four quarters, if we achieve our stated objectives in hitting our sales target and expanding gross margins while successfully removing €50 million from our cost structure, the company will shift from loss to profit as we exit this year. For our investors, this is an exciting time and a milestone we are proud to reach earlier than originally planned. We are also improving our balance sheet. In the fall, we raised approximately $43 million through a sale of ordinary shares to private investors, including insiders, who believe in the long-term value we are creating. We completed a loan of €16 million and expanded working capital by €15 million in the fourth quarter. In the first quarter, we completed a long-term loan of €25 million. And in April, we announced the launch of a $100 million at-the-market program, or ATM. The program is designed to give us optionality and will be used in a discretionary manner to sell shares in the open market, if needed. We plan to report quarterly activity on these calls going forward. Since the program was not launched until April, no activity occurred in the first quarter. Cash is important to a company growing at our pace. We are very aware of our needs, and the current market environment and while the financial markets are somewhat challenging for companies raising capital, we have multiple opportunities we are evaluating to bring additional cash onto the balance sheet and will take action in a responsible and measured manner. We ended the quarter with €66.4 million of cash and equivalents. The first quarter saw higher than normal payments made for prior period materials and components than normal. As we reduce inventory, our quarterly cash needs will decline as well. CapEx is relatively light going forward, with approximately €3.1 million in property, plant and equipment spent in the period. We continue to expect approximately €26 million of PP&E spend this year. And finally, as we discussed last quarter, today, we hold more inventory than we would in a normally functioning supply chain, but our intention is to reduce that balance by at least 30% by year-end. You should begin to see material progress at the end of the current quarter. We ended the quarter with €67 million of long-term debt. As of March 31, there were approximately 1,200 full-time Wallbox employees around the world, a sequential decline of almost 200 people. Any headcount additions we do this year will be done in key areas of growth. With that, I will now turn it back to Enric to provide you with some commentary around the second quarter.
Enric Asuncion: Thanks, Jordi. The long-term fundamentals of the markets we operate continue to be overwhelmingly positive. EV adoption is finally becoming a reality. And as production ramps up and the infrastructure is able to support it, ICE vehicles will become a thing of the past. It's a once-in-a-lifetime market disruption, and we have a front-row seat. Wallbox is a leading global brand with an exceptional portfolio. Balancing the short-term needs of the business, while ensuring the long-term potential remains, is our main objective today. Market uncertainties will always exist, but we believe we are doing the right things and navigating them well by defending and capturing market share, expanding margins, reducing inventories and optimizing our cost structure. As we said last quarter, 2023 is about getting in shape to be able to catch the massive wave we see ahead. It's an exciting time for us, and we are focused on what we control and influence. With that said, for the second quarter of 2023, we anticipate revenue within the range of €40 million to €50 million. We also continue to expect full year 2023 revenue to be between €240 million and €290 million, representing growth between 60% and 100%. Given the volatility we see in the market today, we will anticipate tightening this range on our next earnings call. Linearity of first half versus second half 2023 will equate to roughly 1/3 versus 2/3. It is not uncommon to see a 40/60 split. So while this pattern is slightly more back half-loaded than normal, there are a number of factors that give us increased confidence. First, our partners are installing more chargers than ever see, which is quickly bringing channel inventory to the right level. Second, all the new products coming to market this year. Third, the multiple new revenue streams opened by those new products. Fourth, the competitive landscape is rapidly changing, creating opportunities that we are aggressively capturing. And finally, the new partnerships which we are already benefiting from. Regarding gross margin, we expect Q2 to be approximately flat on a sequential basis and continue to model approximately 38% for the full year. With that, we are ready to take questions from our analysts.
Matt Tractenberg: [Operator Instructions] Charlie, I think you have some instructions for everybody before we start.
Operator: [Operator Instructions] Our first question comes from Marianne Bulot of Bank of America. Marianne, your line is open. Please go ahead.
Marianne Bulot: Thank you very much. Good afternoon all of you. Thank you for taking the question. I was wondering if you could just remind us the difference in terms of gross margin between the different Supernova chargers, Generation 1, 2 and 180, and kind of the path towards the increasing in gross margin for the different products.
Enric Asuncion: Okay. Thanks, Marianne. So basically, all products we launched follow a gross margin profile based on the maturity of the product. So in general, when we launch a new product, as we ramp up production, we improved the designs. The gross margin is below 20%, and sometimes for the case of Gen1 is around the 10%, okay?Gen2, we decided to radically improve gross margins. We decided to do a second generation of Supernova with all the things we learned in the production line and to make it more automatized. So Gen2 goes right away to gross margins above 30%. And we expect, as we end the year, getting them close to the 40s. So we get similar margins like we will have on AC products. So - because we had to do a big jump in terms of gross margin for the DC line, fast charging line, we decided to go to these next generation of products. When it comes to Supernova 180, actually, Supernova 180 uses the same hardware, exactly the same hardware than Supernova 150. Because Supernova 150 has the capability to achieve 180. However, it requires further certification and some changes that - to achieve the 180. So the main difference between Supernova 150 and 180, apart from some country-specific stuff that requires - that's been required in the U.S., it's exactly the same hardware. It's only a certification issue to carry that 180. So Supernova 180 is going to benefit directly from the gross margins we are seeing today in Supernova Gen2, 150.
Marianne Bulot: Okay. That's super clear. And just a quick follow-up, if I may. Could you confirm if you expect to reach positive EBITDA for the full year 2023 or just by the end of the year, meaning Q4 only?
Enric Asuncion: So we said last quarter that our goal is to achieve Q4 only adjusted EBITDA breakeven, and we expect for the 2024 on a full year basis to be profitable. So these are the two commitment we have.
Marianne Bulot: Okay, thank you. I'll go back into queue.
Operator: Thank you. Our next question comes from George Gianarikas of Cannacord Genuity. George, your line is open. Please go ahead.
George Gianarikas: Thank you for taking my questions. I'd like to first focus on the second half versus first half guidance and whether or not you can just sort of illuminate us a little bit more on the inventory situation that you mentioned is you're quickly bringing to the right levels. What kind of data can you share a little bit more granular as to how that's working itself out in the channel between this quarter and next quarter?
Enric Asuncion: Yes. Thank you, George. Basically, when we talk about channel inventory, this is the inventory that have our distributors in their warehouses, okay? During the second half of last year, our partners increased their inventory levels, forecasting a stronger second half for 2022. And we knew that EV deliveries didn't achieve what we expected last year. At the end, this forecast in terms of deliveries they expected did not materialize, okay? So we started 2023 with a higher channel inventory than we will have liked. We have access to the data in myWallbox in our platform of every charger that is installed. So every time a charger is installed and it's powered up, we get the data to our platform. So we know how many chargers our partners and our installers are installing every day, every hour. We have all this data. The data we have today is that we are selling in Q1 - we sold in Q1 more chargers than ever in the company. So actually, our partners sold more chargers than ever. I'm going to clarify that. Our partners installed and sold more chargers than ever. However, they have been going through their own inventory. We expect in Q2 at the end of this quarter that all partners will have - or almost all of them will have healthy levels of inventory. That depends obviously on the country. There are some countries - for example, Australia has higher levels because it takes more time to write products. Countries that we have our warehouse, inventory levels that are healthier, lower. So we have different levels depending on the geographic location. But we expect by the end of this quarter to achieve this healthy level. So when we look into the second half, we are very encouraged by this. First of all, we see that installation from our partners is very high, and we can see this every day in every country how it evolves. And it also helps us when we are doing campaigns. We see the impact of a marketing campaign, how it's impacting specific countries, okay? So that's one thing, and that's giving us the number that we should be seeing today that we are not seeing. The second thing, I comment this during the call, is all new products, this ENERGY STAR being manufactured and being delivered in a few weeks. We have Pulsar Pro, which is opening a new segment of semipublic spaces in condominiums, or Hoco, for example. We call it Hoco , but has another name, and we will announce it soon, which is a product for semipublic locations like businesses, companies and others. And also, we have a Supernova Gen2, which is opening a whole new segment. We were going to 60-kilowatt charger, which is for cities and smaller - it was not for highway, but 150 kilowatts is a highway charger. So all these new products are bringing revenue and new revenue in the next months and especially in the second half of the year as we are delivering them and ramping up the manufacturer of those. Also, I talked about the landscape opportunities in terms of competition. We are seeing that some competition is starting more than others in some countries. And obviously, this is giving us opportunity given the fact that we're a global company, that we have the right products in every market. And we can push specifically in specific geographies where our competition cannot serve, and that's helping. And finally, there's new partnerships. We explained how this big utility we are partnering, these big orders coming from this utility. But there's other partnerships that we alluded last quarter with a big OEM. We still have not announced the names of these companies, but these are partnerships that are starting to work, are starting to be delivered. So all these things, when we add them together, with the fact that we are delivering - sorry, with the fact that our partners are installing more chargers than ever, is what give us this forecast and this sales for the second half of next year, George.
George Gianarikas: As a follow-up, you mentioned the competitive landscape both in those comments and in the press release. I was wondering if you had any color on what's happening in Northern Europe. One of your competitors, Easee, had a difficult time with its product safety. And to the extent you could share any comments on - and any color on how that's creating an opportunity for you in those countries, that would be appreciated. Thank you.
Enric Asuncion: Yes. So what we are seeing is that countries are starting to be more focused on the safety of the products we manufacture. In that case, the Swedish authorities review deliver EV chargers in the Swedish market. And obviously, we were part of these four companies that they were reviewing. And all of us at the end, we passed this test, and we were considered safe than this. But apparently, there's a dispute with Easee, and the authority is saying that the product cannot be sold in the Swedish market. Obviously, first of all, that put us as a leader in Europe in terms of sales. We are the number one today company selling home chargers in Europe. And obviously, that's very good news. But secondly, give us additional opportunity. If one competitor like Easee, which was having considerable numbers in terms of sales, now cannot sell in one of their biggest market. And this is market where we are well positioned is giving us obviously a huge opportunity for us. So there's news coming. There's new partnership we made in Sweden due to this change on the competitive landscape. So we are planning to announce news about partnerships we made that will allow us to sell huge volumes of these products in the Swedish market. And we believe that this is going to continue at the end. More countries are looking into safety and looking into the products, and that's why we focus on certification, we focus on quality and we focus on improving our products constantly and launching new products.
Operator: Thank you. Our next question comes from Ben Kallo of Baird. Ben, your line is open. Please go ahead.
Ben Kallo: Hi, good day, and thanks for taking my question. Just maybe more on the competitive landscape. Could you just discuss maybe bidirectional charging and how it's developing across regions, and how you look at what different OEMs and their acceptance to the technology? And then I know you've had success in Europe with utilities. But how is North America going in terms of bidirectional charges with utilities and their acceptance of the 2?
Enric Asuncion: Okay. Thank you, Ben. Actually, we haven't spoke about bidirectional charging in this call because we had so many products to talk about that I think there was too much. But it's - we - I think I explained this a couple of calls ago, but I will repeat it to clarify everyone listening. We have one product that's called Quasar, Quasar 1. That is a bidirectional charger that works with CHAdeMO cars. CHAdeMO cars - there are a few CHAdeMO cars today that use this standard, the CHAdeMO protocol, which are Nissans and Mitsubishis. This is a product we've been selling in Europe, very successful. But today, remote cars that are coming into the U.S. and in the European market come with what's called the CCS standard. That's the connector we have for charging any car that's been sold in Europe and the U.S. today. This protocol doesn't allow straight away bidirectional charger - bidirectional charging you require today to partner with an OEM to make sure you can discharge the car. And we signed during this first quarter, [5/1/2023], a partnership with an OEM where we can discharge multiple of their brands. So today, Quasar 2, which is the product we are launching for bidirectional CCS charging, can discharge these manufacturer different brands. These are very big European - one of - obviously, leader in European car manufacturer. And there's other partnerships we are working with Korean companies. You will have news by the end of the year once we announce the launch of this product with this car manufacturer. So our goal, because this is very tight to a car manufacturer because the standard still is not available for all the car manufacturers, we are going to launch the product together with the car manufacturer and pay it together. So you sell - they sell the car, and they will offer a Quasar as a possibility to use the battery of the car to power the home, okay? So we have the contract signed, and we are working to make sure we can launch it at the end or at the beginning of next year. Very exciting times. And then when we go to the U.S., same thing we are doing. Right now, we are working with car manufacturers, showing the technology. We had last quarter a couple of days where we invited almost any American OEM car manufacturer to show the technology of Quasar 2. We used some vehicles to - as a demo. The feedback we had was that - it was the first time that they saw a CCS car being discharged. They never show it. That's the OEM, basically. And we expect this to happen in the U.S. as we move into 2024, launching this product, because, again, it requires a synchronized launch with the car manufacturer.
Matt Tractenberg: Yes, Ben. We spoke, I think, on the last call about a pilot program in California with homebuilders and utility companies. And I think we have so much to get through on this call that we just didn't have time for it. But we'll try and provide you and others an update on our next call or during the quarter at a public event, okay?
Ben Kallo: Great. Thank you. And my follow-up is just - is on channels and if - in the industry overall, how exclusivity works, if it does. And so as you talked about the OEM that you're working with - a deal with, for example, or a utility or other channels on power, is exclusivity a part of how you guys do deals in the industry? Or is it not? And maybe you could talk about different channels.
Enric Asuncion: It's not. We don't have in Europe or in North America any agreement of exclusivity with the company, any company. We do have for a short-term period or maybe one year and two years on new markets. So maybe if we go to Latin America, a new market where we are just launching or a new Asian market that's small and we are launching, often, we do an exclusivity partnership because we help the partner develop, and we go hand by hand because this is a market that needs development. But in North America or Europe, we don't have an exclusivity agreement.
Matt Tractenberg: That's by design.
Enric Asuncion: By design.
Operator: Thank you. Our next question comes from Brian Dobson of Chardan Capital. Brian, your line is open. Please go ahead.
Brian Dobson: Hi, thanks very much for taking the question. So in the past, you've spoken about exiting higher-cost sales channels and moving to better margin channels. Could you maybe give us a little bit more color on how that's progressing and what you see for the future for your direct-to-consumer lines and advertising?
Matt Tractenberg: Yes. So I think - I'm paraphrasing here, Brian, but I think the question is just optimizing our go-to-market and where we sell those products through, making sure that we're getting appropriate margins and pricing, right?
Brian Dobson: Yes, that's right.
Enric Asuncion: Perfect. Thank you, Brian. So right now, our focus is on AC chargers, where we have more inventories that we will like, is on reducing those inventories. So we are not really selective on the channels. It's actually on reducing inventories. But we are able to keep these levels of 38%, which is what we are looking for. But when we go to fast charging, it's what we have been doing. For example, Supernova Gen1, we did two things. While we talked in the call where we improved margins by launching Gen2, but also because Supernova Gen1 has a lower gross margin, we are going to channels with Supernova Gen1 now that can give us higher margins, but lower volumes. So we are paying with that. But what's important, first of all, is that the margin went up sequentially versus Q4, okay? So we are increasing our gross margin. And two, for fast charging, what pulled our margin down, we have a new product, and we have been more selective on those margins.
Matt Tractenberg: And Brian, I think one interesting data point - yes. Just one interesting data point that I think is - that we're watching closely is that we're beginning to see interest from our distribution partners for our DC portfolio, too. That requires a certain level of expertise, and in some cases, installation as well. But offering that comprehensive portfolio through our distribution partners is increasingly attractive to them. And so we're looking for ways to expand those relationships and get those products into market faster and more broadly, okay?
Operator: Our next question comes from Maheep Mandloi of Credit Suisse. Maheep, your line is open. Please go ahead.
Maheep Mandloi: Hi. Maheep here from Credit Suisse. Thanks for squeezing me in here. Just one question from my end in terms of the annual guidance implies strong ramp in the second half here. Just curious on the cadence between Q3 and Q4, if you could provide some color there. And then also, like what drives that comfort for you at this stage? Any indications from the channels or OEM launches or just - or any on the U.S. NEVI deployments. But just curious on the comfort on the guidance here.
Enric Asuncion: Okay. Maheep, so regarding the third and fourth quarter, we are not providing specific guidance yet. I think it depends a lot on these new partnerships. We were talking on when some of these big orders will materialize. Obviously, we expect for it to be weaker than Q3 only because the fact that, for example, Supernova 180 is coming at the last quarter, and Hoco, it's coming in the last quarter of the year. So there's new products coming in the last quarter, but we are not providing guidance for this. And for the second question, Doug, I don't know if you will comment about the NEVI program and the IRA.
Matt Tractenberg: Doug, can you comment on where we are with NEVI?
Doug Alfaro: Yes, absolutely. So as it turns out with the timing of the NEVI program, we're still in the stages where we're waiting for the vast majority of states to release the RFPs, for which we're well positioned to enter, especially by bringing forward a higher-volume, high-power charging system like Supernova 180, which meets the requirements of the program to be able to enter into RFP and partnerships to be able to play a part in the rollout of the NEVI program. What we're seeing is activities to be - very likely to be installed-based activities for 2024 more than 2023, and the second half of 2023 to be very likely the first announcements for, let's call it, the larger share of the states that would be proposing forward the RFPs as it relates to the NEVI program. One thing that was mentioned, however, is by being able to bring forward a product like Supernova 180, which is a higher volume, lower cost and more broadly applicable type product, it allows us to move an order book forward with customers outside of the scope of NEVI, which is a more time-bound program, into the framework of, for example, the IRA, which is not time bound and has projects that can deploy much quicker. So to the extent that products are available and delivered either to previous commitment customers, which we have, or even projects that arise between now and end of year, there are certainly opportunities on the DC fast charge side participating in North America.
Maheep Mandloi: Got it. And then just to clarify, are you assuming any NEVI - so you're not assuming any NEVI shipments this year, right? And do you see any IRA deliveries getting delayed as those customers want to wait for NEVI?
Matt Tractenberg: It's correct, Maheep. We don't have any subsidy revenue baked into our forecast this year. Thanks. Okay, Charlie, I think we have one last question.
Operator: We have a follow-up from Marianne Bulot of Bank of America. Marianne, your line is open. Please go ahead.
Marianne Bulot: Yes, thank you for letting me ask the follow-up. I just wanted to know if you could share the market growth that you've seen in Europe and North America. I remember that in Q4, you said you were expecting roughly 30%, 33% growth for the full year 2023 for the market. So I was just wondering if you could provide the Q1 data and what you're expecting for the full year 2023.
Enric Asuncion: Yes. Thank you, Marianne. So actually, it's very encouraging. The data we've seen, we've seen that the Europe and North America growing as expected and maybe even a little bit more. The EV deliveries in the U.S. grew by 55% on a year-over-year basis. And in Europe, they grew by 18%. These were the two matters you asked for.
Matt Tractenberg: Yes. And the full year forecast, the industry forecast, Marianne, have not been adjusted yet.
Marianne Bulot: Okay. Thank you very much.
Matt Tractenberg: So I think that, that's going to be our last question, Charlie. And we want to thank everybody for joining us today, and we hope you found today's call a good use of your time. Also, please note that we're going to be very active at investor events in May and June, and so watch our website for details. If you're interested in meeting with us, you're certainly welcome to let us know, if we can help you any way - in any way. So have a great day, everyone.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.